Operator: Good afternoon. My name is Jay, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lattice Semiconductor First Quarter 2013 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to introduce David Pasquale with Global IR Partners. Please go ahead, sir.
David Pasquale: Thank you, Operator. Welcome everyone to Lattice Semiconductor's first quarter 2013 results conference call. Joining us today from the company are Mr. Darin Billerbeck, the company's President and CEO; and Mr. Joe Bedewi, Lattice's Chief Financial Officer. Both executives will be available for Q&A after the prepared comments. If you have not yet received a copy of today's results release, please e-mail Global IR Partners using lscc@globalirpartners.com or you can get a copy of the release off of the Investor Relations section of Lattice Semiconductor's website. Before we begin the formal remarks, I'll read the Safe Harbor statements. It is our intention that this call will comply with the requirements of SEC Regulation FD. This call includes and constitutes the company's official guidance for the second quarter of fiscal 2013. If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as a press release or publicly-announced conference call. The matters that we discuss today, other than historical information, include forward-looking statements relating to our future financial performance and other performance expectations. Investors are cautioned that forward-looking statements are neither promises nor guarantees. They involve risks and uncertainties that may cause actual results to differ materially from those projected in the forward-looking statements. Some of those risks and uncertainties are detailed in our filings with the Securities and Exchange Commission including our fiscal year 2012 Form 10-K and our quarterly reports on Form 10-Q. The company disclaims any obligation to publicly update or revise any such forward-looking statements to reflect events or circumstances that occur after this call. Our prepared remarks also be presented within the requirements of SEC Regulation G regarding Generally Accepted Accounting Principles or GAAP. At this time, I would like to now turn the call over to Mr. Darin Billerbeck. Please go ahead, sir.
Darin Billerbeck: Thank you, David, and thanks everyone for joining us on our call today. In terms of Q1 revenue was $71.2 million, up 8% compared to Q4. This was at the high end of our revised guidance and 11% above the midpoint of original guidance. Importantly, we returned to profitability in Q1 which are the ultimate validation of our market strategy and operational execution. The strong Q1 growth -- the strong Q1 revenue growth primarily reflects our successful penetration into the consumer market. We also saw some macro market improvement including pockets of strengthening in the communications segment. Additionally, the revenue growth is a clear validation of our strategy to leverage Lattice’s expertise in the low and ultralow density, low power programmable market. We are clearly positioned as a leader in this market and continue to gain mind share with consumer -- with customers that value low-cost, low-power and affordable innovation. As mentioned previously, shipment in the consumer market can be large and highly volatile, as successful programs ramp up and down over a few quarters, wins in one platform do not guarantee inclusion in the next platform. Our strategy is to continue focusing on broadening our customer base in the consumer space while seizing opportunities to expand in the broader markets we serve. In other words, grow the base steadily while taking advantage of the huge opportunity in a mobile consumer. As always, we continue to drive our cost reduction strategy while supporting investment in our new growth opportunity. The takeaway here is that Lattice is executing on our stated strategy. We continue to gain traction in the consumer market given the clear advantages we offer led by our iCE40 product family. We are also gaining operational leverage as we continue to strengthen our talent wherever we can. This is giving us further advantages through the season and coordinate a global sales, marketing and operations teams. We are ideally positioned now with a strong product portfolio highly capable team, excellent broad customer base and a clear value proposition. In terms of adding color for the first quarter, the revenue mix of new, mainstream and mature was 39%, 47% and 14% of revenue respectively in Q1. Revenue from our new product was up 48% quarter-on-quarter reflecting strength in our ECP3 and iCE40 product shipments from both consumer and non-consumer areas. Mainstream products were down approximately 4% quarter-on-quarter. Revenue from our mature product was down about 17% when compared to the prior quarter. On a geographic basis, revenue from Asia, including Japan was about 69% of total revenue consistent with Q4. On an absolute dollar basis revenue from Asia increased approximately 9% quarter-on-quarter due to consumer and slight improvement in the communications segment. The increase in revenue from Asia was muted by continued softness in Japan. As widely reported, Japan continues to lag from a recovery standpoint. Revenue from North America was down approximately 9% Q4 to Q1 in an absolute dollar basis and comprise 13% of the total revenue. Europe was about 18% of revenue, up from 16% in Q4. On an absolute dollar basis however, Europe was up about 21% despite continued softness in the European disti channel. On an end market basis, communications represented 39% of revenue in Q1 compared to 38% in Q4, computing was down slightly at 10% of revenue in Q1 as compared to 13% in Q4 and macro market remains challenging in both North America and Europe. Industrial and others declined slightly as a percent of the total revenue to 26% in Q1 from 31% in Q4. Auto remained a bright spot for us as we continue to penetrate into non-comps revenue opportunity. Consumer increased to 25% of revenue in Q1 from 18% Q4, primarily reflecting the continued ramp of our iCE family. That concludes my initial comments. I will now turn the call over to Joe. Joe?
Joe Bedewi: Thanks, Darin. As noted earlier revenue for the first quarter was $71.2 million, an increase of 8% from the fourth quarter and a slight decrease from $71.7 million in the year ago period. Gross margin for Q1 was 53.6% compared to 54.2% in the prior quarter and 55.1% in a year ago period. Gross margin was at the midpoint of our original guidance. Margins continue to be strong due to higher than anticipated OEM shipments, mix and inventory management. Margins will continue to fluctuate throughout the year however, due to volumes in the consumer market. We are offsetting some of this mix related impact through continued cost reductions in operations. Our long-term gross margin target remains at the mid 50% level. Total operating expenses for the first quarter came in at $35.5 million. This included $0.2 million in restructuring charges. Net income for the quarter was $1.9 million or $0.02 per diluted share, as compared to a net loss of $7.2 million or $0.06 per basic and diluted share in the fourth quarter and a net loss of $7.7 million or $0.07 per basic and diluted share in the year ago period. First quarter of 2013 financial results included income tax expense of $0.7 million or $0.01 per diluted share. Amortization expenses from acquired intangibles was $7.7 million and restructuring related charges were $0.2 million. Fourth quarter of 2012 financial results included income tax expense of $0.4 million, amortization expense from acquired intangibles of $0.8 million and $5.4 million of restructuring related charges. First quarter of 2012 financial results included income tax expense of $7.9 million or $0.07 per basic and diluted share, acquisition related costs of $1.7 million and restructuring charges of $0.06 million. For the quarter diluted share count was approximately 116.7 million shares. The share count reflects the retirement of approximately 0.06 million shares during the quarter purchased at a cost of $2.5 million under our previous stock buyback program expired in February. We have not been active in the market under our new 2013 stock buyback program due to share price. We ended the quarter with the cash, cash equivalents, short-term and long-term marketable securities balance of $184 million, a decrease of $4 million from the December quarter and we continue to have no debt. Accounts receivable at March 30 were $56 million, compared to $46.9 million at end of last quarter and days outstanding were 71 days compared to 64 days last quarter. Inventory at March 30, 2013 was $43.8 million, compared to $44.2 million last quarter, months of inventory now stands at four months compared to 4.4 months at end of Q4 2012. We expect to see fluctuations in inventory levels in any given quarter is driven by selective inventory positioning for future opportunities and opportunistic increases in wafer starts. We've spent approximately $3.1 million on capital expenditures and incurred $5.1 million in depreciation and amortization expense during the first quarter compared to $2.4 million and $6 million respectively in Q4. This concludes the financial review portion of the call. I’m going to turn things back over Darin. Darin?
Darin Billerbeck: Thanks Joe. In summary we’re optimistic entering Q2. Our results reflect our ongoing efforts to grow in mobile consumer with specific focus to penetrate into the worldwide smartphone market. We continue to focus on broadening our customer base in all geographies and all market. We are aggressively managing potential volatility from short and consumer product lifestyle all being maniacally focused on keeping our cost down. Our team is experienced in navigating business environments for demand and expand and contract instantly. We are also positioned to benefit from any improvements in the broader communications market later this year. In terms of our specific expectations for Q2 2013, we expect revenues to increase approximately 15% to 20%, compared to Q1. Q2 gross margins are expected to be approximately 51% plus or minus 2 point. Total operating expenses are expected to be approximately $37.5 million including approximately $1 million in R&D variable cost related to program timing. $0.5 million in variable spending relate to sales increases and $0.3 million in other expenses associated with the company's move to a new facility in San Jose. This concludes our prepared remarks. Operator, we would now be happy to take any questions.
Operator: (Operator Instructions) Our first question will come from Tristan Gerra with Baird. Your line is open.
Tristan Gerra - Baird: Hi. Good afternoon. Could you talk about the OpEx outlook for the second half. And the reason for the increase in Q2 and [basic fee] [ph], what you think you can do to bring those levels down into Q3?
Darin Billerbeck: So we did talk about variability in OpEx related to when we have product releases. So there is a $1 million in there that I’ll call related to product release. We are still targeting the 35.5 roughly million per quarter run rate. But we will spend opportunistically if we need to on R&D spending. We’re going to hold the line on sales and marketing, and on G&A. And you also had some variable spending that we have talked about before related to the increase in revenue in Q2. So we're still holding on the $35.5 million, but it’s going to swing up and down as we go through the quarters.
Tristan Gerra - Baird: Okay. And then in terms of communication infrastructure, are you seeing any pickup and perhaps if you could talk about the design win momentum you have in China. What type of timing should we be looking at in terms of a pickup at some large customers in China?
Darin Billerbeck: I think overall, Tristan, when I look at the comms market, it’s spotty in different -- it’s spotty to say the least. We’ll see one or two customers that are upside because they win specific contacts in specific geographies. So I think that’s what we saw this last quarter. And we've heard at some of the forecast that we have, had some large contract wins by different comms customer. So I think that will drive some of the comms rebound. So it could be the fact that you’re in a specific customer and that customer wins those contracts. That will push things up or down. We feel strong about the design wins that we have in the pipeline, specifically on ECP3 and XO2. XO2 was primarily really the glue logic portion of the control plane whereas ECP3 is the [series] [ph] version of it. Both play well in wireless and wireline where people want cost and affordable innovation versus just the highest performance [Seri] [ph] devices. So we feel good about that. A lot of the stuff that we’re shipping today was design ins we got in the last 12 to 18 months.
Tristan Gerra - Baird: Okay. And then next question, looking at the revenue momentum you had in Q2. How should we be looking at the trajectory for SiliconBlue revenue. Is it fair to assume that SiliconBlue revenue could double year-on-year this year?
Darin Billerbeck: Yeah. So let’s talk about the momentum that we have. And again it’s iCE40. I want to recorrect it iCE40 lattice products right now, SiliconBlue. Coming from there in the consumer, we expect to grow pretty aggressively on that as you saw even in the first quarter and our projections for the second quarter are directed at that growth. So yeah, we expect some pretty large growth. I don’t want to give you any forward-looking guidance beyond Q2, which I can’t. So we expect some pretty aggressive growth.
Tristan Gerra - Baird: Very good. Thank you.
Darin Billerbeck: All right.
Operator: Next, we have a question from Ian Ing with Lazard Capital Markets. Your line is open.
Ian Ing - Lazard Capital Markets: Yeah, Darin.
Darin Billerbeck: Hi there.
Ian Ing - Lazard Capital Markets: Congrats on the GAAP profitability and a strong revenue guidance.
Darin Billerbeck: Thanks.
Ian Ing - Lazard Capital Markets: Do you have any commentary on new guidance for June by end markets, so I’m assuming most of it’s coming from consumer?
Darin Billerbeck: Yeah. So from a market segment, I think consumer and comms will really be the best drivers of growth. I think everything else, if you look at is probably struggling or flattish, being more of the North American and this season Europe. You don’t see a lot of rebound yet from that. I don’t expect Europe to rebound for the whole year. I think North America has some opportunity to rebound. But most of our growth will come in specific comm segments and also within consumer.
Ian Ing - Lazard Capital Markets: Okay. Great. And then in terms of, Joe, the commentary on fluctuation on gross margins for the rest of the year, we do have this backdrop of consumer seasonality. Can you give us the sense of the range of gross margins of the directionality after the June guidance. I mean, are there scenarios where you’ve got cost reductions and industrial recovery enough to offset or more than offset. Thanks.
Joe Bedewi: You’re hitting it. So if we start to see some of the macro, the global macro go up, we’re going to see some uplift in the margins. We also have cost reductions that are continuing to flow through that we anticipate will come in Q2 as well as Q3 and beyond. So we see an uptick and we’re still holding to the mid 50s number that we’ve talked to. A lot of this is a function of industrial not really coming back hard. It's somewhat soft. Although Europe's stayed stable for us quarter on quarter. We saw little uptick. So that’s a good news kind of thing for us. We’re still not calling any large increase in the last half of the year. But if comm comes back and the macro, the economic conditions and industrial comeback we think we can be at the mid 50s very, very well.
Ian Ing - Lazard Capital Markets: Okay. Is comms at or below corporate average? I thought sometimes it’s below.
Joe Bedewi: It is dependent upon where it’s at. We’ve been -- and Darin talked to the growth in our new products at 48%. I believe it was this quarter. A lot of that growth is expanding beyond our core customers in some of the comms type businesses that we have.
Darin Billerbeck: It’s things like video, surveillance, automotive, all of those markets. So what we are trying to do to balance the base of margins. So comms products that Joe had mentioned are lower margin and some of the higher performance and newer products might be lower. But some of the control function products that we’ve been shipping for many years are actually quite a bit higher. So we kind of have a balanced portfolio product in the comm segment depending on which product family is.
Joe Bedewi: Depending on mix, I'm above corporate average on comms.
Ian Ing - Lazard Capital Markets: Okay. Thanks for clarifying. And then last question here, where are you in terms of consumer OEM diversification. I think obviously you’ve got a good OEM with the smartphones and tablets, one of the leading ones in the world, just where you are with the OEM diversification?
Darin Billerbeck: Yeah. So we’ll talk about this, really about six that are meaningful in volume. And we have programs and charter programs for all of those .There is probably two that are meaningful today that we’re kind of balancing that portfolio with. And let’s not forget that some of the consumer mobile stuff goes into the digital still cameras which is still a big business for us, right. So we have diversified both within Asia because we’ve got some digital still camera stuff that’s in Korea and also in Taiwan. So there is some quite a bit of diversity we have there. But our biggest challenge is really getting to those top six guys.
Ian Ing - Lazard Capital Markets: Okay. Thanks. I’ll be in the queue.
Darin Billerbeck: Thanks Ian.
Operator: (Operator Instructions) Next we have Richard Shannon with Craig-Hallum. Your line is open.
Darin Billerbeck: Hi Richard.
Richard Shannon - Craig-Hallum: Hey, Darin and Joe, how are you guys doing?
Darin Billerbeck: Great. How are you doing, Richard?
Richard Shannon - Craig-Hallum: Doing just fine other than the blues that we have here in Minneapolis right now but don’t get me started on that one. Very nice results and guidance to your guys. I guess, a couple of questions from me and I’ll follow-up, I think the last one here regarding customer -- consumer mobile customer diversification. How many customers, more customers could we see in the next, I don’t say two to four quarters. What does your crystal ball tell you there?
Darin Billerbeck: Our goal would be three of the top five. That’s the goal that we’re putting out for ourselves, right. I think that’s reasonable for us to get to that point where you can get some design wins and tractions. These things aren’t 18 months design cycle like everything else. They are usually six to nine months?
Richard Shannon - Craig-Hallum: Okay. And three to five by the end of the year, so?
Darin Billerbeck: That’s always a target because it really established the relationships. Because again this is a different type of design process and you typical would deal in comms market. So it’s really getting in and now that you have some proof points on the valuation. As far as turning development cycles much, much faster than people have thought for some of the feature sets that were helping design and develop. I think that makes a big difference. Now, that you’re actually shipping volume.
Richard Shannon - Craig-Hallum: Okay. Maybe probing in the consumer mobile opportunity, in other way, Darin, how are you seeing the mentality of the engineering and even the management of those customers and target customers kind of embracing programmable logic or maybe they haven’t used it before because it being -- becoming embedded in anyway such that you might see perhaps a little bit more stability than you might expect normally from the consumer market?
Darin Billerbeck: Well, I think right now if I look at the overall market being one of feature rich. The sensations are look at my smartphone has a better form factor or it has these cool features that somebody else has. I think there is point in those development cycles where somebody comes up with something you didn't think about in that design cycle -- out of your design cycle. You have two choices. You can stop your design cycle and redesign or you possibly put an FPGA in those. And we have some opportunities where we have more than one FPGA in some of the smartphones. And that’s just because one does one thing and another does another thing and they are adding features. The nice thing is they have the flexibility to then add or subtract those features, depending on the phone model or depending on the geography of the phone models ships into. That’s kind of a nice deal for people because that’s one of the areas where unlike an ASIC, you can have two different FPGA, yank one off and you don't have those features on that phone because the market doesn’t need it.
Richard Shannon - Craig-Hallum: Okay. Fair enough. Chipping over the topic of gross margins, maybe just expand on the previous question here. Joe, can you remind us what kind of level of revenues or range you would expect to achieve a mid-50s kind of gross margin on and if you can help -- maybe if I can push it to quantify that the mix that you were -- I think you were qualitatively describing earlier?
Joe Bedewi: It’s all mix. It really is. So, if we had this $80 million, I can be at $55 mixed dependent. So if I've got a good mix of the broader market products, some of the stuff from the industrial side and we have our comps market continuing to expand outside of the core customers we’ve serviced in the past on new products albeit at $50. So it’s much, much more mixed dependent that it is volume independent. Anything over 80 helps my overhead allocation. It also helps us related to costing because now we have more leverage on cost side. But the biggest swinger is still mix.
Richard Shannon - Craig-Hallum: And Joe, are there any opportunities for step up soon in the gross margins under your year iCE40 products, or is that kind of a stable cost reduction kind of a cycle right now?
Joe Bedewi: There are opportunities on iCE. Again, related to volume and related to potentially derivative products that we develop going forward.
Richard Shannon - Craig-Hallum: Okay. But anything like on yield as an example.
Joe Bedewi: Yields are pretty looking good, but there's still clearly always opportunity on yields.
Richard Shannon - Craig-Hallum: Got it. I think that’s all the questions I have. I will jump out of the line guess. Thank you.
Joe Bedewi: Thanks. Thanks, Richard.
Operator: Next, we have Ruben Roy with Mizuho Securities. Your line is open.
Ruben Roy - Mizuho Securities: Thank you. Hi. Hey, Darin, I want to see if you could comment a little bit more on some of the discussion you had in your prepared remarks around volatility on the consumer side. When you guys came into Q1, earlier this year in January, obviously the guidance was a bit lower and you had a nice uptick during the quarter. The Q2 guide was well above where I think expectations were. So it seems like there were some programs ramping during the first half of the year that perhaps you hadn't seen earlier. So as we sit here in April and we think about some of those comments back in January you guys were thinking that second half of the year would be a little stronger than first half. I mean, how are you looking at that now and does that have something to do with the volatility that you talked about. I guess what I’m trying to get to is, do you think that the consumer business can grow half over half, when you look at the second half of the year based on the design wins that you have right now?
Darin Billerbeck: It is always a possibility to do that. But let me go back to your first kind of question, which is -- we entered Q1 and gave guidance and then all of sudden stuff kind of blew up on us really good, right. And that’s an artifact of the fact that, when you win something in the consumer market you're not really sure when the ramp vehicle is because you’ve got so many other suppliers that are dependent on one single or validating different platform. Once they validate that platform, they will just walk in it. If consumers little different than comps then don’t just walk in and say, okay, I need these many parts tomorrow and pull all the stuff in, which is why you have to position your inventory a little bit different than you do in the consumer market where you're more lead-time based and forecast based. In this particular case, you have to be able to take your inventory that you have and be able to operate in those where stuff goes up and down really fast. And so, I think that what ended up happening is people just started to prebuilt in a lot of some of the volume ramp process they have and that’s what you saw, right. It is just the quicker ramp and pulling up of ramp that you already had designed it on that saw it was possibly occur in Q2 rather than Q1.
Ruben Roy - Mizuho Securities: Right.
Darin Billerbeck: But the second half, it's just depending. In the second half, you really need to dependent on the models that you are in and the success of those models in the market.
Ruben Roy - Mizuho Securities: Okay. So it’s an interesting seg why I guess and it’s inventory given that inventory was down a bit in Q1. I'm wondering, what’s the kind of lead-time that you guys get on a build, on a consumer build?
Darin Billerbeck: Typically -- on a typical situation, it’s probably six to eight weeks is what we will see. And so if you look at the volumes that these things run you got a position. So even though inventory is down over all, in certain areas it could be up, why, because it’s down from a dollar perspective. So there is certain products that might be up slightly, the other products that might be down slightly depending on why we built because again remember we build for opportunity. Forward looking has had high probability. We also built for lower cost in some cases where we can drive volumes to drive the costs down. So in areas where we need that cost focus, you may see us build inventories there. Now that we’ve got the mix where we wanted, we can flex it back and forth depending on cost structures and depending on availability of ramps.
Ruben Roy - Mizuho Securities: Right. Okay. Last question, Darin, did you have a 10% or better OEM customer in Q1?
Darin Billerbeck: We have a 10%.
Joe Bedewi: We don’t disclose that except annually.
Ruben Roy - Mizuho Securities: Okay. All right. Thanks, guys.
Darin Billerbeck: Thanks.
Operator: (Operator Instructions) Next, we have Bill Dezellem with Tieton Capital Management. Your line is open.
Bill Dezellem - Tieton Capital Management: Thank you. Would you please discuss your design win trend in the recent past versus the past, which actually is driving your success today? And so what I’m trying to drive out is that we recognized there is a lag time between those past design wins and really trying to understand the momentum going forward.
Darin Billerbeck: Yeah. So let’s talk out. We have salesforce.com, is really our design opportunity pipeline. And it doesn't help you a lot in the consumer market and the reason for that is because you'll be working on the design and you don't -- maybe an opportunity but we judge it down so low that in that first couple stages of the pipeline that you're not going to get a lot of benefit when they hit they just take off. So they move very quickly from opportunity to revenue, whereas the salesforce.com is probably more appropriately used when you look at the other products such as XO2, ECP3 and our power management. And so if I go back to XO2, remember that’s our 65 nanometer device that’s got non-volatile memory. And we go back and look at the pipeline that was to be established since probably late 2010, mid 2011 and it’s right on track with what we would've anticipated for XO, which we had before iCE was our fastest ramping vehicles. So we feel very confident about our XO2 pipeline. Our XO product continues to grow very well. iCE just have to kind be a different program that’s hard to track on those design wins because it just happens or it doesn't happens. It’s very digital and it's hard to keep track of that on salesforce.com. But overall our pipeline continues to increase with the new products, and we still have a lot of opportunities for some of our older products like 4K and that we called Mainstream, but have moved from new to Mainstream in last year so.
Bill Dezellem - Tieton Capital Management: But I think in your last statement qualitatively, your pipeline does continue to grow. So, from your standpoint, this is the beginning of the bill in revenues rather than a quick shot in the arm that once this consumer product you are in, they wave in.
Darin Billerbeck: It’s more of the comment that I made in call where I said look, we are trying to broaden the base and build that base as we take advantage of these consumer, mobile opportunities, right and some consumer longer than other, right. Smartphones are very quick and dirty kind of thing. I dealt with that a lot of years in the flash market, right, whereas consumers like TVs may take a longer duration and shift from much longer time. So when we talk about consumer mobile, it’s usually stuff that’s batty driven. Consumer itself could be multiple things, right. So those types of opportunities, I consider those more of our bolder lumpy things. But the other things that we really focused on is building the base. Both the base product lines and the control plan for wireless and wireline being XO, XO2 to and we can actually sell iCE02 and then it’s the higher-end communications devices like ECP2M or ECP3. So we look at those pipelines. Obviously, we get to refresh our communications 30s version high-performance pipeline which were doing as we roll out our next product.
Bill Dezellem - Tieton Capital Management: Thank you.
Darin Billerbeck: Okay.
Operator: Next question comes from Sundeep Bajikar with Jefferies. Your line is open.
Sundeep Bajikar - Jefferies: Hi, guys. Nice job on the consumer front, just a couple of quick question there. Is it fair to say that you’re shipping two major smartphone platforms, which are making of the majority of your shipments for iCE40 at this point?
Darin Billerbeck: It’s around that. It's fair to say that.
Sundeep Bajikar - Jefferies: Okay. Great. And is there a way to categorize which geographical end markets those products might be shipping into, do you have any visibility into that?
Darin Billerbeck: They ship all around the world, because one platform may go to multiple geographies. It may have different features. It may have, for instance, there could be applications in China that aren’t used in Japan or the United States or Europe.
Sundeep Bajikar - Jefferies: Okay. Great. And just quickly on gross margins for iCE40 relative to corporate average as of Q1, are you able to share how they compare?
Darin Billerbeck: It’s a little lower than what our corporate margins would be and that’s where our big focus is at this point is, really. There's two ways that you drive the margins up and consumer mobile one is with volume weighted pricing which is what we’re doing with our own suppliers as we drive that and the cost down. The other one is as we develop the next generation products which also happened quickly, you're really trying to design and define a cost reduction strategy built into the product So what we shipped today is blocking and tackling kind of cost reduction but will be shipped tomorrow is more the innovations for cost.
Sundeep Bajikar - Jefferies: Switching gears into ECP3, could you give us some idea how ECP3 revenues did sequentially and also what portion of the ECP3 revenues would ship into communication versus non-communication as in surveillance and those types of applications?
Darin Billerbeck: That’s ECP3 would have been up quarter-on-quarter, which is nice. We don't ship a significant amount into automotive or summative surveillance application yet although we are -- we have a lot of design wins in the pipeline we’re working on. And as Joe had mentioned earlier, the goal for us on ECP3 is really diversifying beyond just being a comms data product or high-end control plan product. But into other things like video, so we’re really trying to focus ourselves in some of that HDR video applications for surveillance and in some of the collision avoidance stuff for automotives.
Sundeep Bajikar - Jefferies: Okay. So in other words, you’re saying the majority of ECP2 revenues are still coming from the communications market?
Darin Billerbeck: Yeah. And another things, margins are up quarter-on-quarter too for that product. So that’s again blocking and tackling kind of deal to get the product cost sale.
Sundeep Bajikar - Jefferies: Okay. Great. Thank you so much and nice job again.
Darin Billerbeck: Thanks.
Operator: (Operator instructions) our next question comes from David Duley with Steelhead Securities. Your line is open.
David Duley - Steelhead Securities: Thank you for taking my question. Most of my questions have been answer but just a couple of housekeeping ones. Can you -- with the guidance revenues up substantially and gross margin down, I imagine most of the growth in the upcoming quarter is going to come from the consumer space. Can you give us an idea, what you think the communication based sequential growth will be in the June quarter?
Darin Billerbeck: Well. I think so that’s talk about it. So a lot of the growth will be consumer but don't, count on communications as a growth in general. It’s just -- if you look at it. There will be both growth and that the chance that we have. And As Joe alluded, the margins start really coming back when we get the overall distribution and the other product mix in play. I mean, we’ve tried to be somewhat conservative as we walk through it but we need overall macro comfort to get more of a distribution next of the partnership overall.
David Duley - Steelhead Securities: Okay. And any guess on what you think the comm business will grow in the second quarter.
Darin Billerbeck: Now -- I mean, not really, I think today it will grow modestly. It’s probably all I would say.
David Duley - Steelhead Securities: Okay. And then real quick, what do you think whatever net income we end up with, what is going to be the tax rate that we see in the quarter?
Darin Billerbeck: Where running in around 26% right now, I'm we’re going to probably be in that spaces which go throughout quarter.
David Duley - Steelhead Securities: Thank so much.
Operator: Next we have a question from Ian Ing with Lazard Capital Market.
Ian Ing - Lazard Capital Market: Yeah. Thanks. I’m back, just a couple of quick follow-up. So as you look at the comm infrastructure market, seem some of the emerging OEMs, are more flexible in their vendor selection including using Lattice big OEMs or doing some acquisitions like Cisco, for example. What’s -- any chance of getting onto more approved vendor list the preferred vendor list the big OEMs because of this
Darin Billerbeck: Funny, you should say that that’s exactly some of the focus we had in the based communications market. And we’ve that actually had some pretty good success for doing that, yeah, absolutely what we’re doing. I think what help us a lot is the fact that we provide the low power, kind of low density approach to them with value proposition that not you will think for long period of time. I think that gives us a stable position in all of the customer eyes.
Ian Ing - Lazard Capital Market: And then for Joe, the new tax rate for the rest of the year. What’s driving that versus the original guidance for the year.
Joe Bedewi: Yeah. What’s driving that is just we moved towards profitability and as we get the new tax structure in place and where we sell. It's really a function of basically how the how the money moved through intercotransfers and stuff like that. So what we need to do is get a sustained profitability and show profitability in our offshore spaces and then we’ll start to see better rate decline as we move forward.
Ian Ing - Lazard Capital Market: Okay. That’s it for me, Thanks.
Operator: (Operator instructions) There are no further questions. I’d now turn the call back over to the presenters.
Darin Billerbeck: Okay. I just appreciate everybody joining us on the call today. Again our upward guidance is actually a result a lot of hard work over the last couple of years. It's also part of our acquisition of the SiliconBlue Technology and iCE40 product. It’s been a really good focus of ours and we’re starting to see some of the results that you heard on the call today and some of the forward-looking guidance that we've given you. Let's also not forget that we’re still, one of the biggest communication suppliers as far as the control plane and other areas that we focus on. So we’re not just going all consumer. There is still a broad base of products that we supply. And we continue to evolve and develop capabilities for all of our markets not just consumer. So even though consumer is a big story today. We have a lot of benefit in our other products and a lot of products that are lining up quite well for the future. So again, thanks for joining us on the call. We’ll talk to you next quarter.
Operator: That concludes today's conference call. You may now disconnect.